Executives: Susan Filyk - IR Frank Holmes - CEO Susan McGee - President Lisa Callicotte - CFO
Operator: Welcome to the U.S. Global Investors Webcast, U.S. Global Investors Earnings Announcement for the Second Quarter of Fiscal 2015. If you have any questions during the webcast, simply enter your question in dialogue box at the bottom of the screen and click submit. Also you may download a PDF of today's slides by clicking on Resources tab in the top center area of your screen. To switch back to the presentation, just click the Slide tab. We would like to begin by introducing Susan Filyk, Investor Relations at U.S. Global Investors. Ms. Filyk.
Susan Filyk: Thank you and good morning. Welcome everyone to our webcast announcing results for the quarter ended December 31st, 2014. The presenters for today's program are Frank Holmes, U.S. Global Investors' CEO and Chief Investment Officer; Susan McGee, President and General Counsel; and Lisa Callicotte, Chief Financial Officer. During this webcast, we may make forward-looking statements about our business outlook. Any forward-looking statements and all other statements made during this webcast that don't pertain to historical facts are subject to risk and uncertainties that may materially affect actual results. Please refer to our press release and corresponding Form 10-Q filing for more detail on any factors that could cause actual results to differ materially from any described today in forward-looking statements. Any such statements are made as of today and U.S. Global Investors accepts no obligation to update them in the future. If you have a question for us, you can submit it at any time during the webcast. Simply type your question in the dialogue box at the bottom of the screen and click submit. If we aren't able to answer your question during the live presentation, we will follow-up with you individually. Now let's go to Frank Holmes, CEO and CIO for an overview of the quarter. Frank?
Frank Holmes: Thank you, Susan. For everyone I'm calling in from Cape Town of Indaba Conference which is the largest mining conference in Africa with ministers from every country attend in addition to the CEOs and predominantly from every major mining company, so I'm doing both research as a Chief Investment Officer and branding in speaking on panels and participating. So the call may have bit of an echo, so I apologize for that, but let's get onto Slide number 4.  We are a boutique publicly listed investment advisors specializing gold, natural resources, emerging markets, domestic equities or municipal bonds and for the past year and quarter the real highlight and strength has been coming from our near term municipal bond fund and the challenges continue for the last year of the show and reflect on emerging markets and resources which seem to have peaked in 2011 and hopefully that this will be a trough year. Basically, there's a thought process of this particular conference also with the accelerated spending of €60 billion a month out of Europe and to the idea that $500 billion piece dividend from America and oil prices collapsing thanks to fracking and I think the technology advances that we've made basically are accelerating budgeting, spending and many of these countries will have to import oil. South Africa which is the biggest country and richest country in Africa is also net oil importer, so this is a big benefit to the economy here it's going to take about 6 months before we start seeing a take off as sort of highlight of what I am listing to at this conference. Going on our next visual on Slide 5, we're a go to stock for exposure to emerging markets and resources. We're debt free, strong balance sheet with reflexive cost structure and a multi-divined in return equity discipline. We're going to comment more about that in the presentation, as the deal with the benefit to the world of falling energy prices has been a real challenge to us short-term because we have resource funds which have exposure and we do all sorts of investments in high dividend paying investments like MLPs, et cetera. So they all took in the collection last quarter and hopefully as I said earlier think that this should be a trough period. But let's take a look at our top institutional holders of GROW, that's the next visual. As you can see on Slide number 6, financial investment management group stayed up 18%, [lowest] funds are 15%, Vanguard is 4%, Century Investment to management 3% and Black Rock Fund Advisors 3%. And we thank all of them for their support as shareholders in our company. In addition to all retail followers that we have both on funds and grow as a public company. We've been paying -- consistently paid as the next visual shows on seven years, Slide 7 for paying dividends and current month lease is $0.05 per share and yield is roughly around just under 2%. We've continued to have the Boards approved a repurchase of up to $2.75 million of its outstanding common stock and so we continue to do that in accordance with all the regulatory rules we have to follow. And then we have the next common share I think it is important during the fiscal quarter 2015. We repurchased 50,212 classes A shares, using approximately $147,000, we buy these on down days or down moments and it’s less when, the models to be opportunistic on down days. And the next one -- it basically highlights, it is an algorithm we used to buy shares on down days in accordance with all applicable rules and regulations that restrict the amount and kinds of purchases. We need to suspend this anytime and that's just a normal disclosure that you have to give. The next one is the current lineup of mutual bonds. So Slide 5, growth strengths go to stock for exposure to emerging markets and resources, our debt is very strong, balance sheet with a reflexive cost structure and there is a delay to that and a lot of times as you can see that it just takes about 60 days for the cost to adjust to lower assets we'll comment later in the presentation. Many of our multi-dividends return equity discipline. Slide number 6, is the top institutional holders of GROW, Financial Investment In Management Group amongst the largest, [Lloyds] Associates number two, Vanguard number three, Century Investment Management four and Black Rock number five with both equal 3%. And I like just always thank our investors for their loyalty and thoughts and putting money to our funds and in addition to bringing money to our funds, being shareholders at GROW, especially in the challenging time for these always emerging markets I think declining since 2011 into -- you get these massive rallies, but is a lack of follow through in the asset class. But I do believe that we're in the trough period here. And the next visuals showing you growth dividends paid monthly, consistently paid for more than 7 years and current month for is basically in place since 2013 about half a [indiscernible] per share in the current yield is just under 2%. On the share repurchase program is on next visual slide on, Slide 8 and the Board approved to purchase up to 2.75 million of outstanding common stock on the open markets for total year of 2015 and during the second fiscal quarter of 2015 the company did repurchase 50,212 class A shares using approximately $147,000. We do have algorithm which is used to buy back shares on down days in accordance with all the applicable rules and regulations that restrict the amounts and times of repurchases and may suspend or discontinue at any time. That is still in place and we’re trying to be as pragmatic as possible in demonstrating that return capital model. And that’s just the current line of mutual funds and you can see the gold and precious metals, and natural resources are big asset class for us and they will continue to have difficulties along with emerging Europe in this past year and this last quarter. You can look back and the calendar quarter of 2014 with the oil plunge on this is a benefit for the world and it’s a benefit for America, but when you have resource funds they all take a plunge and it’s usually a [violent] down correction without seeing these oil prices bounce up from their lows, in this particular quarter, so it did impact us dramatically last quarter. The next visual is to go on [billing] for future growth, 65% ownership Galileo and Global Equity Advisers developing innovative dynamic EPF products, expanded product lines and that’s the vision, that’s the future.  And I think it’s also this idea about how can we better in our strategy to monetize the brand that we have and the following that we have both institutionally and retail globally, and the Galileo also paying monthly dividends and a lot of that in Canada was resources of energy stocks and they took on the [indiscernible] just a decline and the Canadian dollar declined last year is the benefit for those companies in Canada the exporting gold or copper, oil because of that margin expense or they are able to protect themselves from the decline of the commodity price.  But it does impact our investments in Galileo which we can always address more details, but we think it’s more short-term paying and hopefully honestly I just think is going to be behind us. Now let’s talk about the vision, that’s just much more exciting and the vision for the future growth is on Slide number 11, we formed a strategic relationship with U.S. Bancorp Fund Services ETF Series Solutions, U.S. Global Investors will be investment adviser to a series of specialized smart beta ETF, preliminary prospectus for USGIs first ETF filed with the SEC is coming Susan McGee can maybe comment this in a technical or regulatory questions asked she can answer those.  And the new ETF Jets ready to take off and will be based on an index of companies in the global airline industry and small portion will include some [millions] for airports and our goal is to lower the volatility of this sector and but still get the upside and that’s what this is very aggressive in detailed analysis of our factor models they bring it to us as one off product for investors. The next visual is number 12, and it’s key things our approach to building performance is simple and continuous it’s a streamline for stability which we had started in 2013, which we started to our process of shrinking our product-line up, get money market funds, truly a real cost of whole industry and which we have highlighted in previous part of classifications of billions of dollars unwinding at and partnering with U.S. Bancorp lowering that cost structure and number of employees and truly focusing on what their core strengths are and then getting ready for EPS and looking at -- still looking at acquisitions so that we can unlock our company. And the next visuals will show you unlocked potential that we have is how we streamlined and I think number 13 is nice and simple shows you, CEO 1:1, Executives still the 2 and CFO and Susan McGee, Lisa Callicotte will be speaking shortly and Susan McGee President of General Counsel. But then on the leadership end we have shrunken up by 25% and the number of employees has shrunk by 25% as we have streamlined [labor] process internally.  As you can see next visual is the growth of ETF products historical ETF assets in trillions of dollars in the bigger part in recent conference we went to there is not only paying $2 trillion, but the fastest growth is this ideal smart beta and that is clearly some factors that get rid of noise and rebalanced once a quarter of a dynamic algorithm is more like a slow comp system, then high frequency trade, but it does rebalance and reposition for investing in and we can do the lot less expensively for investors. The next visual is showing you on Slide number 15 the quarterly average assets in the management they have declined and we’ve explained that already. A lot has to do with a declining in resources particularly topping investments directly or indirectly that are tied to the energy space and it's a benefit for the world, it's a benefit for Americans, cheaper oil at the pump, but it does impact the overall investments that we have. And we have seen a good bounce in oil and think it'll stabilize, but the interesting part is that airlines they absolute took-off in the last quarter with the fall in energy prices, so we think that the idea of the EPF that's related to -- inversely to lower energy prices, airlines in particular is a great product that they've offered and give us greater stability in our overall revenue and assets.  In addition to that, the airline industry has been going through a lots of changes in the past three years in particular streamlining their costs and now all of a sudden they’re throwing off lots of positive free cash flow, so it's not just the energy falling, it's their models have changed and it's another reason why we like them. The next visual showing the divergence between domestic stocks, gold and mine encompassing emerging markets and I've been talking about this during this presentation and this is the visual we try to explain to you in simple terms you can see that the gold miners are picking on the chin and our assets are -- I mean even though we outperform them our active gold funds have outperformed the market victors during this time period. It's actually really a big decline overall assets and the emerging markets they decline and so if you take a look at the Eastern Europe in that particular asset class they decline more or so than just the emerging markets overall index. And as you can see the [indiscernible] has been on a charge which has been important for our diversified portfolio. The asset breakdown of U.S. Global funds is pretty well consistent, hasn’t changed dramatically as you can see with the numbers reflect, so there's nothing of material but it's just good thought out for you to understand if you’re a new shareholder, but you can look at this to understand what portion is institutional retail.  The next visual showing our balance sheet has no debt. We maintain lots of assets, we repositioned some of those short-term cash that's gone into higher income producing assets and that's what we did, we have been pulling off lots of income from our investments, but still some of these investments have their own volatility which leads to color that can comment on and leading with presentation. Earnings per share per quarter in showing individual, that it was a challenge here as you can see a year ago it was actually more severe because of the write-downs we took, we had to take with restructuring as it's so costly to unwind funds to streamline the business and it seems to be mutual funds are becoming -- [indiscernible] mutual funds so expensive not only at open and launch but also the close and EPF seem to be much a more cost effective not only the lower fees but you can charge for the customer that's a benefit for the investors but the overall maintenance in the cost will run in the product line, the engine. So that's important part of historical visual. And next we're showing you peer group comparisons, we also had to look at ourselves in a world, where we grew up as a company, as a value company, as an income company and you can see that it's been a real challenge with returns on capital as assets have declined and we try to as fast as we can to adapt and adjust our cost to the decline in emerging markets of assets. And the next visual is showing that over the past decade, our average return compound has been 8.57% and the next visual is I'd like to show in 22 is how does it compared to other asset classes and how did the Vancouver, which we have investments in a long time, how did they perform and you can see the future of gold, but GROW is a go-to gold stock and the outperformed stock, as a go-to stock and we perform a lot of these other things and focus on emerging markets and resources.  And then we take a look at what quarterly numbers are -- that reflect how we've done and we've underperformed the Russell 2000 I think it's really simple and we used to outperform it we had a higher asset bases and we had positive flows and hopefully we'll get this done as fast as we can with EPF launch in focus. Now let's turn it over to hard working Lisa Callicotte with the wall of financials and to cover income statement and balance sheet for any questions later on. Lisa?
Lisa Callicotte: Thank you, Frank. Good morning. I'd like to summarize our results for operations for quarter ended December 31st, 2014. As I discussed our financial results significant change compared to the same quarter last year and due to obtaining control and interest in Galileo in June 2014 and consolidating Galileo's balance sheet and revenues and expenses in our financial statement. Therefore these statements increased by the amount we consolidated for Galileo. Beginning on Page 25, we recorded total operating revenues of 2.3 million for the quarter this is a 13% decrease in the 2.7 million we recorded in the same quarter last year. The decrease is primarily due to decreases in our mutual fund, assets under management and was offset by the consolidation of 519,000 of Galileo revenue.  Moving onto Page 26, operating expenses for the quarter was 3.3 million a decrease of 942,000 or 22% primarily for the following reasons. Employee compensation and benefits decreased $325,000 or 17% as a result of fewer employees and lower performance based bonuses offset by the addition of Galileo expenses of $144,000. General and administrative expenses decreased 552,000, that's 36% primarily due to higher fun reimbursement and fund restructuring cost in the prior year, offset somewhat by the consolidation of Galileo expenses of a $171,000. Platform fee expenses increased 67,000 or 15% as a result of including 211,000 of Galileo's platform fees and was offset by a decrease in platform fees of our mutual funds due to lower assets sold through broker dealer platform. On Page 27, we see our operating loss for the quarter ended December 31, 2014 at $891,000, our other income which is our income related for our investment was $53,000 for the quarter, and this amount includes approximately 264,00 of dividend and interest income but was offset by unrealized losses in our trading security of $295,000. Our investments in energy, natural resource sectors had a large decline as sectors as a whole declined. And at this time we do have the ability to hold these investments until the market changes and these sectors are more favorable. But these downturn had approximately $0.02 per share effect on our net income. Net loss attributable to USGI after taxes for the quarter is $842,000 and as you can see on page 28 it's a loss of $0.05 per share. Moving on to Page 29, we still have a strong balance sheet, we're own our own building, we have cash and marketable securities of 21.6 million that combines and make up 75% of our total asset. As you can see on Page 30, we still have no long-term debt and the company has a networking capital of 22.3 million and a current ratio of 14.8 to 1. With that I'd like to turn it over to Susan McGee.
Susan McGee: Thank you Lisa and thank you to everyone listening in today. The U.S. Global Investors Fund have a history of demonstrating leadership in investment performance. In fact since 2000 our funds have received 29 liquid performance awards certificates and top rankings. During the past quarter our sales and marketing efforts have focused on one of our top rank funds, our five star near-term tax refund or NEARX in particular, and it has delivered consistent positive performance over quite a long period of time. In fact out of 25,000 equity and bond mutual funds only 30 have had consecutive positive annual returns for the past 20 years. And we're very, very proud that NEARX is one of the few. Our investors and financial advisors repeatedly tell us that they appreciate of history of new dollar performance that this fund has provided during fall to market. If you compare the S&P 500 to NEARX since 2000 you will see that it took the S&P 500 13 years to pass a steady growth of the near-term funds. This fund seeks preservation of capital and it has demonstrated minimal fluctuation and its share price rarely moving more than a penny in a day, with interest rates that we had now at 50 year low of the tax equivalent yield for NEARX is an attractive alternative to prevent [seeding] rates. NEARX has earned the coveted five star rating for overall performance among municipal national short-term funds. We're also pleased that two of our funds hold the top Lipper Leader rating. This rating is based on investor centric criteria and on a scale of one to five Lipper Leader funds got rated five, are in the top 20% of your category. The near-term tax refund rate of five for preservation and the U.S. government securities ultra-short bonds on rate of five for preservation and expand. We have found that investors value preservation and tax efficiency. And we're happy to offers funds that are highly ranked in these categories. Along with our investment leadership, U.S. Global Investors has earned recognition as an industry leader in investor education, we received a total of 64 awards since 2007, because we believe that in farm investors make smarter decisions with their money and we have a firm wide commitment to educating investors. Each week our investments and marketing teams publish the award winning investor alert and advisor alert to help investors navigate the complex global markets that we have today. Frank provides a weekly special commentary for these newsletters and he also regularly posts to his CEO blog FrankTalk, which is one of the longest running blogs in the financial industry. We funded our special reports to case studies or another format in which can share our research, our insights and our expertise. These along with the wells of interactive materials are available on our Web site usfunds.com and we encourage you to visit the Web Site. Our regional educational modeling pieces receive a valuable amount of earned media which is free, viral publicity that has gain through sharing of our content by third party sources. And this helps us to leverage our brand by reaching millions of readers, dealers and potential investors. In addition our online community is growing as we interact frequently with loyal and digitally engaged followers through email, Facebook, Twitter and LinkedIn. Frank is also frequently soughed outside the financial media and is known as the go-to bull guy for his expert and balanced views on the metal. In 2014, Frank was invited to share his gold market analysis on his weekly show on the biggest gold Web site in the world, Kitco. Today we have aired 45 episodes of the Gold Game Film and the audience is about 10 million monthly visitors on the Kitco News Web site.  In addition other members of our investment team are also sought out by the financial media, they were discussing natural resources domestic and emerging market, we have been interviewed by CNBC in U.S. and in Asia, Bloomberg market launch and many, many more. In addition many implemental financial newsletter writers have also recommended our phones to their shareholders.  And now I would like turn it back over to you Frank what we have been seeing in the markets recently.  Would you like to discuss what you see in the markets? 
Frank Holmes: I am sorry, yes. And what I would like to really comment on is I would add to color to as Susan had to say that it’s very difficult for our no drama NEARX line to create an ETF round off because of big part of that alpha creation is managing cash and the volatility that takes place. So recently we had some volatility gain to 10 year government bond and five year and we have quant models that measure that and the recent take a look at inflection points along the yield perk. So there are times when we will have 20% cash and try to capture that and that’s helped us deliver that term, performance with lower volatility, when it comes to the EPF bases we’ve been doing lot of work on it’s more of an -- it’s a very different factoring model.  And so I think for our subs going forward is just really truly to stay focused on what’s taking place in the capital markets and how can we have a product line that’s diversified for investors to be able to inexpensively be attracted and use that as a go to place in addition to other funds groups, how do we do what we are doing such as our ETF for Jets which is a global perspective dominated by the U.S. and news factors to be able to dynamically adjustment and adapt to the key factors that we are looking at these companies.  So with that I would like to roll into what we experienced last year and we wrote about this and we lot of coverage around the world it was the epic price reversal in the dollar and commodities and there are several factors have led to that. So you can go to the Investor Alert and highly recommend if you’re not a subscriber that you sign up and you can see how we think in every week publishes that whether strengths and weakness of last week impacted a particular category that we internally involved with by investing our money for that particular fund. So it does cover China it does Europe and it does cover energy and it covers the gold and it covers domestic equity and it covers tax free whether those factors and we try to take a look out for a one week with opportunities to be and one of the big things we are trying to highlight this past year and inform investors on the significance of PMI, Purchasing Manufacturers Index and how that impacts emerging markets in particular the collateral that it has with resources, demand supply, et cetera. So we did go through this as the dollar became strong because the rest of Europe and other G7 countries they have such weak economies and their interest rates were negative. And so you saw this interesting bifurcation took place in the copper market but it didn’t impact us and visual number 52 you can see the slide we do try to highlight the significant of that $500 billion piece dividend for global consumers and businesses and the ramifications for that.  That global PMI it turned negative and when it turned negative last year we started to seeing a skittishness in particular in August and people come back this global PMI, PMI is looking in the future, it’s a what will people be purchasing from manufacturer product and its hugely a good tool looking six months out and it’s turn to have weakness last year and that was Europe and France was the first to reflect that and Germany and then [indiscernible] base and then Japan which were a negative PMI and then China. So when their numbers will really turn negative in the summer we started seeing oil unravel and what we have done in our studies and we have highlighted that is it there was like 70% to 80% rally in copper based materials and energy on the one month cost is above the three month and vice versa is almost 100% decline when it’s negative. So right now it’s positive for the world that it is positive and that’s important, but what’s really more significant for oil and gold and copper, et cetera is China, and China’s PMI is not positive it’s below at 50 mark. So that is really important and just in part with China is has a new normal like you can call it, at the infrastructure build that they had for this huge demand for commodities is repositioned and the countries policies are non-infrastructure and non-manufacturing to the degree that they were before so that GDPs slows down, other stock markets up 50%, The stock market took off in August and a lot has due with domestic equities they were not involved with exporting their products, the consumption demand permeating in China, so that's another sort of important factor of putting consideration of what's happening around the world. But next visual showing is that U.S. crude oil production had a 25% year high and that means that we're importing rest from the rest of world. We're not importing from like we used to and it gives us too much -- so much strength internally and the next one shows you that the rise and rigs as you can see from 2009 we basically went from 200 oil rigs running to 2,000 as a number at peak that’s just under 1,800. It's declining now with the lower oil prices, but as America ingenuity it's Americas' creativity in this space to unleash the energy that's underground and now the rigs have been caught up in marginal wells and we still have a lot of productivity from existing wells these wells, the rig count have to come down to 1,000 before, we really start to see oil get back to $70 a barrel. And the next visual is trying to show you in context we've had some newer version, but we look back 30 years, 30 years of data of looking and you can see on Slide number 56 on the stress of a dollar being so strong and oil then taking on the chin not only is there an inverse relationship of the dollar to oil and the dollar to gold the other factors were the PMIs to the world had turned negative and U.S. development of its wells et cetera had gone through the roof so we had additional supply in the marketplace. Europe was weak economically and the dollar was strong so there was like the perfect storm for oil prices to come off and as you can see here they had a huge-huge drop, now they're seem to have redirected of the bottom historically does bottom in the month of February. But the next visual is trying to show you that highlight that West Texas crude oil historically bottoms in January, February and we're up from the lows and what's also important is to show you that global oil demand still remains strong it's highly correlated to PMIs and the PMIs have turned positive. They're not ripping, but they are positive which is constructive. Now we did a special that’s received a lot of positive feedback the next visual is trying to show the world with that breakeven oil price is and what happens is that Saudi Arabia it doesn’t take much to get oil over the ground it's like $5 is called lifting cost but the mixed share they have social stability that they do not go through the rites of Arab Spring from a couple years ago. The government has been spending an enormous amount of money on social housing, social products et cetera and what does that mean? It means that the real costs have maintained their budgets, they want to state as surplus is pushing more like $80 a barrel, $90 a barrel. So they have to cut back in military spending, their social programs if oil stays down at these levels for very long and that's something that they have to wrestle with.  So the next visual is showing you Russia's currencies tumbling and what's interesting is that Russia is a largest exporter of energy in the world and their currency fall into the degree has impacted the stocks we sold 99% I think of our Russian stocks last year after the Ukraine invasion and thanks god we did because not only the currency falling impacted the stocks and [if you were in fundamental spring Russian stocks are so -- they're cheap, like they're just so cheap however the political uncertainty is a key factor from being careful of jumping back in to that space even though they fundamentally look so attractive on a global basis but one of the things we did see is that the credit to fall swaps which is reflection of the currency weakness and the uncertainty for both Ukraine and Russia at hand all-time highs in the first week of January second week and now they seem to be coming off and it appears there's some form of stability taking place in the credit to fall swaps, so maybe there's going to be better piece going around the world and it’s something of a resolve but is that black swan were Zurich speaking to German and Swiss business people to the Zurich school, International school of business their executive program there is a lot of concern over what will Putin do in sort of just a global stage.  But let's hop onto next visual I talked about it Jets fly high. They were running as you can see into the global correction took place in October and as oil prices fell then they really took off but they were already on a nice climb, Jets because they've gone through the restructuring and all that pain and repositioned themselves for a positive cash flow. The next visual is showing you a piece that we published in January a low oil prices that benefit the Chinese airlines also so it's not a domestic opportunity something that's global and we're also seeing the Chinese tourism and Chinese citizens are traveling around the world they are very big in spending and so that’s an important part because when you get lost with 1.3 billion people all you have to do is have 10% make it $100,000 a year and that's 130 million people, so that's a key factor and looking at the world in a different position about China's impact. Next one is showing you the correlation some meeting of the Fed's money, assets rising at the S&P 500. We're still seeing money supply rising even though the government in U.S. pull back on their stimulus program with [queries] 1, 2 and 3, now we have Europe is going through their program of spending. But what we did see is that the U.S. tenure bond yield just below 20 months low. It bounced off these lows and is back up to over 1.9. And I think it's important to see if the world is struggling and even with this incredibly low interest rate scenario in America. Our yields were the highest that you saw. So I don't think there is a real big threat on rates rising a lot of people are forecasting because I think they would immediately slow down our economy. And we have to be really carful, because of very strong dollar we'll show up and has historical of slowing down our export business. In high quality products all of a sudden Europe starts becoming much more attractive to combine in euros rather than dollars and this goes from Boeing down to medical diagnostic equipment. So that the idea that how quickly the U.S. is going to raise interest rates would only make the dollar slow against everyone else and that would greatly impact our ability to -- with this high paying jobs to be able to export. Next visual is showing you that the global consumer [CKI] trends are down and the payment trend down which is a factor for low interest rates. The other thing clearly that I think of significant took place at Chinese economies surpass the U.S. based on a purchasing power [hierarchy] it didn’t get much spend there. But what I am fully trying to highlight is that as an overall GDP is still substantially less than America, when you have such a big population and we get 10% of the population making $100,000 a year it is significant. And it has tremendous purchasing power because we can see in car sales; we can see it in many other products in China. And the next visual is showing you Big Mac of index which is another way of looking purchasing power in global currency and volatility as you’re TIM in South Africa, Big Mac is the cheapest here the renminbi in China it's 2.77, U.S. it's 4.79 but in Switzerland the Big Mac is extraordinarily expensive. How much that Swiss franc has risen and that's been a great concern for the Swiss. As if their currency, is great if you go into Germany to buy something but domestically how do we export their products, if they're manufacturing. So the watch industry in Switzerland is finding it very difficult for such a strong currency to be able to export. And I think it's interesting for a little factoid is that the very peak at gold at 1900 and obviously all-time low negative interest rates in U.S. for 10 year government bonds, is also in the Swiss peg a euro to the a dollar -- sorry euro to Swiss franc at 1.2 and that's all changed now this past month and that seems volatility in the currencies. The next visual is showing that vehicle sales in America remains strong and expensive to finance it's also been very strong for Canadian in our commodity periodic table which is probably the most attractive piece that people who are interested in using and sharing and downloading from our Web Site and we go to conferences, Canadian was the best performing and a big factor for that Canadian strength was supply factors but car demand has remained very strong in the U.S. and in China. The next visual are trying to push you in the context that gold is money and so when you look at gold versus all the other countries' currencies you can see that the gold prices the second strongest currency was down only 2% against the dollar. But look at these other countries’ currencies. Look at the Russian ruble how much it declined. Now what's interesting is that its negative short-term and it effects your global investments because you have them in U.S. dollars almost hedged that you’ve got to cut this currency can impact your over overall value and convert back. So companies that are exporting gold like in Canada, the Canadian dollars fell dramatically. And so they have profit margin expansion, in South Africa here, AngloGold made a presentation with CEO AngloGold and basically they were losing a billion dollars a year and their currency has fallen over two years period over 40% and now they're showing positive free cash flow for $100 million and this in gold field. So these stocks have jumped 30% to 50% because they have margin expansion, and that's something that U.S. Global, we're working to try and glide down our cost structure and launch new products at the same time, let's get back to that margin expansion and that is the key factor for seeing these companies take off and also seeing GROW take off, we’re very confident on what we have do to get that margin expansion. And this is visual 70 is showing the Canadian dollar, when you price gold in Canadian dollars it’s just taking off. And so basically what gold is hitting 1900. So we’re getting these huge breakouts in Japanese yen terms gold is breaking up with the real amount of gold producer and gold in euros. So European either kept gold is a diversified part of portfolio that 5% waiting in billion and 5% gold stocks are seeing a benefit of having that exposure and then going to rebalance. The next visual showing that the low fuel cost and we can benefit South Africa and gold [cruise] just comment on and their stocks have had this big runs and it appears that one of the best performing stock just ran gold and whether you’re pegged to the euro, so the euro falling for the cost structure and fuel prices falling they have had substantial margin expansion and you can see the low fuel cost and weaken rand have benefit harmony as a stock slide number 74. So this always been able to adapt to these adjustments, strong dollar - weak gold, weaker currency all of a sudden that you can get great stock performance because margin expansion is a key factor in our overall ability to attract share price to rise.  Next visual is reason from active management, we continue to believe and we can see which commodities no stays with the bottom for couple of years but they’re exploding for the top and there is this tremendous rotation you can see in natural gas, you can see from the basement for the [CLM] and it’s just this rotation takes place.  So I hope that your reader of U.S. Global Investors are Jim [Cramer] is and last year he tweeted to his loyal 600,000 readers what we published in addition to being in South Africa for this in [Indelva] conference where there is 7,000 people registered and expensive conference to attend, it’s institutional investor it is now the new owner with Euro Money which is the holding company which is interesting also owns [Big Banker] at analyst and its really we have seen the selling keep bumping to their subscribers to Institutional Money that to the Investor Alert. I want to discuss positive negatives whatever we write about that they always find it stimulating.  So I hope [indiscernible] to you. That ends it, let’s go for Q&A. 
Q - Unidentified Analyst: (Operator Instructions). Our first question. Can you discuss any expansion plans for more funds in Canada?
Frank Holmes: In Canada, we are working on dividend paying -- U.S. dividend paying stocks for total investment yield and so that’s -- we are going through what we have done for Jets has to go through the detailed analysis to assure that it’s a product that is sustainable rather than just a fact. And so we hope that we will be able to come out in a second quarter and get the process fast track in Canada. 
Unidentified Analyst: Our next question related to ETF. Do you put the U.S. Global eventually bringing out more ETF so that the company focus will be on ETF as supposed to mutual funds. How you market in sale ETF differently and will you need to add more staff?
Frank Holmes: I don’t think we need to add more staff we have to educated staff and we have a highly educated workforce, so it’s we are [indiscernible] and we have recently had a bit continuously of to ETF conference in Florida in addition to Orlando’s retail conference of 8,000 retired retail investors and I think Susan feel like you can comment, it was dominated with ETFs and that’s where the space is going to. I think the mutual fund world is just too expensively. It’s really is a just burden that if you want to have an inexpensive product and then you add all the regulatory cost and all the committees that you have to deal with on and around for board meetings and audits and weekly meetings the list goes on, it’s just too expensive you cannot do it for the buy that so I think the market is going to bifurcate the private equity it will be special funds that will deal with the opportunities of being ground for the between some new company and we will focus on the ETF space in our product line up and separate for accounts and that’s why we continue to look at in the business of separate accounts. 
Unidentified Analyst: Can you discuss the investment strategy for the proprietary investment account? You mentioned that the company’s investment generated income of about 53,000 for the quarter; do the user investments generate more income to build the volatile revenue stream from resources in emerging market?
Frank Holmes: Lisa you can -- Lisa helped me give some exact numbers, the income from the dividends et cetera is more than 53,000? 
Lisa Callicotte: Right, the income from the dividend was 264,000. So we have been investing lately in items that actually produce income on a monthly and quarterly basis, but it was offset by unrealized losses in our training securities $295,000. 
Frank Holmes: Then it’s not so much that we are training them by how its categorize, but if they’re available for sale than the volatility leads through the income statement, correct Lisa?
Lisa Callicotte: The trained securities if they are qualified at training securities that does through our income statement and available for sale directly with the balance sheet in comprehensive economy. 
Frank Holmes: Thank you, I hope that answers your question.
Operator: Thank you. That concludes our questions for today. This concludes U.S. Global Investors earnings Web cast for the second quarter of fiscal 2015. This presentation will be available for replay on our Web site at usfunds.com. Thank you all for your participation today.
Frank Holmes: Thank you team, you're doing a great job, I really appreciate it. Susan and Lisa, thank you, thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. That does conclude today's conference you may all disconnect. Have a great day everyone.